Operator: Good morning, everyone, and welcome to the Edible Garden Incorporated 2025 Second Quarter Business Update Conference Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Ted Ayvas of Crescendo Communications. Ted, the floor is yours.
Ted Ayvas: Thanks, Jenny. Good morning, and thank you for joining Edible Garden's Second Quarter 2025 Earnings Conference Call and Business Update. On the call with us today are Jim Kras, Chief Executive Officer of Edible Garden; and Kostas Dafoulas, Interim Chief Financial Officer of Edible Garden. Earlier this morning, the company announced its operating results for the 3 months ended June 30, 2025. The press release is posted on the company's website, www.ediblegarden.com. I'm sorry, www.ediblegardenag.com. In addition, the company will file its quarterly report on Form 10-Q with the U.S. Securities and Exchange Commission, which will be available on the company's website as well as the SEC's website at www.sec.gov. If you have any questions after the call or would like any additional information about the company, please contact Crescendo Communications at (212) 671-1020. Before Mr. Kras reviews the company's operating results for the quarter ended June 30 and provides a business update, we would like to remind everyone that this conference call may contain forward-looking statements. All statements other than statements of historical facts contained in this conference call, including statements regarding our future results of operations and financial position, strategy and plans and our expectations for future operations are forward-looking statements. The words aim, anticipate, believe, could, expect, may, plan, project, strategy, will and the negative of such terms and other words and terms of similar expressions are intended to identify forward-looking statements. These forward-looking statements are based largely on the company's current expectations and projections about future events and trends that it believes may affect its financial condition, results of operations, strategy, short-term and long-term business operations and objectives and financial needs. These forward-looking statements are subject to several risks, uncertainties and assumptions as described in the company's filings with the SEC, including the company's annual report on Form 10-K for the year ended December 31, 2024. Because of these risks, uncertainties and assumptions, the forward-looking events and circumstances discussed in this conference call may not occur, and actual results could differ materially and adversely from those anticipated or implied in the forward-looking statements. You should not rely upon forward-looking statements as predictions of future events. Although the company believes that the expectations reflected in the forward-looking statements are reasonable, it cannot guarantee future results, level of activity, performance or achievements. In addition, neither the company nor any other person assumes responsibility for the accuracy and completeness of any of these forward-looking statements. The company disclaims any duty to update any of these forward-looking statements, except as required by law. All forward-looking statements attributable to the company are expressly qualified in their entirety by these cautionary statements as well as others made in this conference call. You should evaluate all forward-looking statements made by the company in the context of these risks and uncertainties. Having said that, I would now like to turn the call over to Jim Kras, Chief Executive Officer of Edible Garden. Jim?
James E. Kras: Thanks, Ted. Good morning, and thank you to everyone for joining us today. The results that we reported this morning show that our strategy is working and that the disciplined decisions that we've made are delivering real impact. We've been intentional about focusing on higher-margin innovation-driven categories that align with where we see the market heading rather than trying to be everything to everyone. A year ago, we announced a strategic decision to exit 2 underperforming low-margin categories, lettuce and floral. While at the time, it was a difficult decision, we've since freed up resources to invest in areas where we can lead like CEA informed better-for-you shelf-stable products that meet the growing demand for healthy and sustainable options. These choices are not just about improving margins. They're about building a portfolio that's more resilient, more adaptable and better positioned to serve consumers over the long term. We believe this strategy has rightsized our product portfolio, expanded capacity for our core portfolio and over time, will not only drive profitability, but also strengthen our role as a trusted provider of wellness-focused solutions to consumers around the world. These results give us a solid foundation as we look ahead, and I'm excited to walk you through the highlights of the quarter. Private label products sold through major big box retailers delivered a standout second quarter performance, climbing 19.1% year-over-year. This growth was driven by expanded retail programs and strong sell-through of our sustainably grown CEA-produced herb products that continue to resonate with consumers seeking freshness, quality and sustainability. These results underscore the strength of our retail partnerships and our ability to capture share in higher-margin demand-driven categories. That momentum extended into our core produce category with hydroponic basil leading the way, growing 7.1% quarter- over-quarter, followed by potted herbs up 6.4% and wheatgrass up 4.1%. These results highlight the enduring appeal and consistency of our core offerings, supported by our controlled environment agriculture model, which delivers reliable quality, yield and sustainability advantages while exceeding major retailer fill rate expectations consistently delivering at 98% or better. In the second quarter, we made significant progress on our strategic priorities, innovation, brand expansion and operational sustainability. Furthermore, we've clearly defined our better-for-you market strategy. This is made up of 3 key pillars: our existing fresh produce and fresh condiments, farm formula supplementation and performance beverages. Our Fresh Produce segment posted unit growth, supported by new product introductions and ongoing consumer loyalty. A notable highlight was the launch of Kick, Sports Nutrition line on Amazon, which expanded our digital marketing reach, introducing the brand to a broader and stickier customer base and strengthening our direct-to-consumer engagement. Early results from these efforts drove an increase in e-commerce sales, demonstrating both the scalability of our product portfolio online and the growing strength of our digital sales. We also advanced brand expansion initiatives with continued retail growth of Pickle Party, which is gaining strong consumer traction and celebrated the debut of the industry's first USDA organic hydroponic basil, further reinforcing our leadership in sustainable agriculture. Together with robust gains in our nonperishable lines, these achievements are diversifying our revenue streams, enhancing long-term portfolio resilience and positioning Edible Garden to capitalize on emerging opportunities. Internationally, revenue grew 66.5% as we secured new distribution partnerships and expanded retail placements in key global markets, providing a broader platform for sustained growth and global brand visibility. Demand for better-for-you CPG products continues to rise, creating a powerful tailwind for our business. Globally, the functional food and beverage market is projected to expand from $400 billion to $610 billion by 2030 according to Virtue Market Research. In the U.S., sales of natural, organic and functional products are expected to reach $386 billion by 2028, growing at roughly 5% annually for the Nutrition Business Journal. With a differentiated brand portfolio built around innovation, sustainability and wellness, we believe Edible Garden is well positioned to capture share in these large and fast-growing categories and benefit from these long- term trends. As these consumer preferences increasingly influence the fresh category, our produce business is equally poised to deliver exactly what today's shoppers are seeking, fresh, sustainably grown and high-quality products that align with their health and lifestyle goals. On the operational side, we took a significant step forward with the acquisition of NaturalShrimp aquaculture in Iowa, now operating as Edible Garden Prairie Hills. This site expands our R&D capabilities in aquaponics, supports year-round climate control production and brings with it a portfolio of patented water treatment technologies that recycle water, improve yields and reduce environmental impact. These patents are now part of our IP portfolio, giving us exclusive rights to advance aquaculture methods we can not only use at Prairie Hills, but potentially across our entire growing network, strengthening both our competitive position and our sustainability profile. The central Midwest location also gives us a real advantage in distribution, allowing us to get products to retailers faster, lowering our transportation costs and delivering fresher products to customers. And with plenty of room to grow, Prairie Hills provides the capacity and flexibility to scale production and roll out new product lines, making it a key driver of innovation, efficiency and long-term growth. The second quarter proved that our strategy is working, and we're just getting started with delivering growth in categories that matter most, expanding into high-margin opportunities and strengthening our leadership in sustainable innovation-driven food production. The acquisition of Prairie Hills adds powerful new capabilities in aquaponics, R&D and distribution that position us to scale faster, operate more efficiently and bring even more differentiated products to market. With strong market tailwinds, a growing portfolio of brands consumers love and the infrastructure to support our ambitions, we're entering the next phase of our growth story with confidence, momentum and a clear path to creating long-lasting value for our shareholders. With that, I'll turn the call over to Kostas Dafoulas, our Interim CFO, who will review the financial results for the quarter ended June 30, 2025. Kostas?
Kostas Dafoulas: Thanks, Jim, and good morning, everyone. Revenue for the second quarter was $3.1 million compared to $4.3 million in the same period last year. The year-over-year decline primarily reflects our strategic decision to exit the floral and lettuce categories, which accounted for roughly $740,000 of the difference. While we haven't yet fully replaced the revenue from floral and lettuce that these categories carried high costs and low returns, and they didn't align with our focus on higher-margin opportunities. Gross profit came in at $634,000 compared to $1.6 million in Q2 of last year. The decrease was driven by changes in product mix, lower sales volume following the category exits and some margin pressure for increased investments in infrastructure and personnel. We view these investments as necessary to enhance scalability and improve efficiency over time. Selling, general and administrative expenses were $4.2 million compared to $2.7 million last year. The increase was mainly due to expenses related to the NaturalShrimp asset purchase and legal expenses related to an [ Oryon ] in our capital market activities in the quarter, along with increased labor and raw material costs. Net loss for the quarter was $4 million compared to $1.9 million in the same period last year, with the change largely reflecting the higher SG&A expenses. Over recent quarters, we have taken decisive steps to strengthen our balance sheet meaningfully, reduce leverage while enhancing our equity base. These actions position us to execute against our strategic priorities with greater financial flexibility. We closed the quarter with $2.8 million in cash and remain focused on driving inventory efficiency through improved production planning and optimized distribution, supporting both margin expansion and cash generation. And with that, operator, please open the line for questions.
Operator: [Operator Instructions] Our first question is coming from Anthony Vendetti of the Maxim Group.
Anthony V. Vendetti: Jim or Kostas, I was just wondering if we could dive a little bit deeper into the numbers on private label, what percent -- is that a growing part of your business? What percent of your revenues is private label? And then I have a couple of follow-up questions.
James E. Kras: Kostas, I can -- you want to do this one together. I'll start kind of high-level strategy and anything you can sort of add in the way of percentages or reinforce what I have to say, that would be great. Look, it's a growing part of our business. There's been a huge shift over the last few years. I mean all you have to do is obviously read the papers to see that as it relates to these retailers looking to shift as many natural brand equivalents to their portfolio in private label. So our business on the private label side continues to grow significantly. It's -- what's nice about it is the marketing costs and some of the other costs that are involved in branded business we forgo since it's under -- whether it's Meijer's label or Hannaford, Ahold Delhaize label or we'll be doing some work in the largest grocery store chain in the U.S. In Q4, we're launching private label there. So it's a nice mix. What I like about it is the cost -- there's not a lot of marketing cost that's involved in it. So it's pretty straight that way and clean. And it's consistent and it's usually contracted. So like with Meijer, we've got a 3-year contract with them. That allows us to have some security and commitment on both ends to the business. And like I said, it's been going quite well, and we've done a nice job as a team, I think, really executing on all aspects of the business, but the private label, it really deepens the relationship and opens a lot of opportunities over and beyond maybe the private label business. So contracted business, low cost for us as it relates to marketing and a growing part of our business that continues to accelerate.
Kostas Dafoulas: Yes. And just to add, Anthony, sorry, to what Jim said, kind of we started down this private label path about a year ago with the contract that Jim mentioned with Meijer. And we've seen kind of now some positive results of our efforts in partnering with these retailers, particularly Meijer, as Jim referenced, which is probably the largest piece of private label is seeing some great growth. It's about 19% in dollars and about 22% in units. So I think we're going to start capitalizing on that relationship and augmenting it across other retailers going forward as we're receiving other opportunities. And this is sort of one of the main drivers that we're looking to replace the lost revenue from categories we exited last year and pretty optimistic for the back half of '25.
Anthony V. Vendetti: Okay. Great. Maybe that's a good segue into the lost revenue, and then I'll have just a quick follow-up on the vitamin supplement business as well as a natural shrimp. So first, you mentioned there's about $740,000 in revenue -- lost revenue this quarter from exiting the lower-margin fluoro, lettuce business. But the revenue difference between this quarter and last quarter was about $1.2 million. So what accounted for the other or for the remainder of the shortfall? And what part of the business or what categories were not...
Kostas Dafoulas: I think we -- I know again. So yes, you're correct. Floral and lettuce did contribute a majority of that change. We saw some softness also in the condiments business. Fortunately, it's not a material part of our revenue. I think the rest of the gap there is we made -- we announced earlier a new sports nutrition line called Kick Sports Nutrition. And as a result, our legacy vitamin whey products, we're kind of taking those out of the market. So as this transition is happening, we saw a little bit of softness there as well, kind of continuing to drive or explaining kind of the remainder there. And I think we're just seeing kind of flat, a little bit soft year-over-year comps on the core portfolio of herbs. But as we look to the back half with Kick coming into market and coming online with a bunch of our retail partners, we're confident that the lost revenue will get replaced with these opportunities and more that are coming.
Anthony V. Vendetti: Okay. And these opportunities in terms of Kick Sports Nutrition and these are the higher-margin products, correct?
Kostas Dafoulas: Yes, that's right. We announced a partnership that we're starting to work with Amazon to put these on e-commerce channels as well. So I think with the refresh of the brand kind of tied in with our better-for-you promise to our customers, we're really excited about the opportunity, and we have a lot of eyeballs online via Amazon on these new products. So I think combined with our marketing efforts there, we're expecting acceleration in that category.
Anthony V. Vendetti: Okay. And lastly, on the NaturalShrimp acquisition, maybe just a quick overview of what that brings to your portfolio?
James E. Kras: So well, it brings quite a bit, and I mentioned it in the call. First of all, it's a big facility. It's 6.2 acres. We've made an announcement a couple of weeks ago, I think. We've rebranded it Edible Garden Prairie Hills. It's located in a central location. It's a few hours from some of the major retailers in the Midwest distribution centers, Target's big distribution centers, not that far from there. So there's great -- it expands our penetration and reach even more westward towards the coast and leveraging and extending both the Midwest facilities. Additionally, there's that patent portfolio that came along with it, which will help with water treatment, lowering our costs as well as improving our sustainability profile. We've got some pretty major plans for that facility to not only drive R&D, but to really become a functioning sustainability hub with some next-generation products that are higher margin that align with our relationships. And I can't talk too much about it. That's in development. It's very, very significant. We're working with one of the major retailers to help develop a facility that would host and drive some of their private label nutraceutical business. And then obviously, the rest of it would be kind of filled in with branded -- our branded products as well as any other new business that we pick up. So multifaceted facility, big facility and dedicated workforce out there that's excited to have somebody Edible Garden come in and breathe new life into what I think is just really a fantastic, like I said, multifaceted facility that's going to do quite a bit, and I think it's going to really expand our capabilities. And we've already started that process. So I'll be more than happy to answer any other questions around that or any specifics, Anthony.
Operator: Our next question is coming from [ Nick Pincus ] of Forest Capital.
Unidentified Analyst: First off, congrats on the progress that you're making in executing the new business strategy. My first question, just in terms of the seasonality, we're traditionally very seasonal with Thanksgiving and the holidays driving significant revenue. And I was just wondering if you can give us a little bit of color around what you're anticipating in the fourth quarter.
James E. Kras: Well, yes, look, I mean, Q4 for our business is a Super Bowl, right? So you got the 2 main lines of business, let's call it, the Edible Garden branded fresh business and then you've got the Edible Garden vitamins and supplements business, those -- both those businesses, Q4 is on the -- call it the produce side across those subsegments too as well as private label. That is a big holiday programs that start in the beginning of November and run really through the middle of January. I think what's great about this is, as we continue to evolve as a company, we've really been able to identify not only what it is that we need to do, but how to start to do it where we are much more efficient and our labor costs are much more stable because we can anticipate and add in the revenue. Look, that part of the business continues to grow. We've already got our preorders in for Q4, and there's a significant increase there, to be quite frank. We will be bringing in some new accounts that will be pretty significant as well that will add to the Q4 on the produce side. So I'm incredibly bullish on a strong, strong Q4. And I think going into this year, we're in a much more stable position than we were last year, considering just some of the uneasiness with labor last year and some of the changes that were potentially going to happen with labor. I think we've been able to kind of get through that over the last year. And now that people are securing their jobs, I think we've done a great job of outsourcing and working with our partner, especially in Michigan to bring in a very strong outsourced committed workforce that we can manage versus kind of having it in-house and it was kind of clunky in the past. And then this year, I think we're going to be in a much better position to really execute plus we've made a considerable investment in the facilities in refrigeration and production lines. So we're ready to go, and we can add in this other business, which will be fantastic without any real increase in costs. It will be incremental at best really the kind of the concept through like manufacturing, like you increase the throughput, but a lot of your costs kind of just go up incrementally versus the growing revenue line. So that I'm super excited about. On the vitamin supplements, this quarter was such a kind of -- this kind of the last of the wash through between lettuce and floral whatnot, the changeover to Kick and having a more contemporary line that's targeted towards where the customer is going versus kind of where the customer has been is working out quite nicely, both with Amazon and with some of the partners like Meijer and PriceSmart, PriceSmart load-in is going to be happening shortly for Q4. Our overall international business is up significantly, PriceSmart being a huge driver of that. So the business is starting to morph and shift. And what's nice about it, it's morphing and shifting into a higher-margin business with Q4 being a big loading quarter for us on the vitamin and supplement knowing that January is New Year's resolution, everybody -- New Year's -- you have your New Year's resolution, you're looking to get in shape, lose weight. The consumption, I think it's 60% to 65% of all dietary supplements, nutraceuticals and protein powders are sold in the first 4 or 5 months of the year with the real bulk of it in January. So all those orders and they're already -- we're already building them right now. Those get shipped in September and October, so they flow through to be on shelf for big promotional schedules in January. So like I said, I think Q4 is going to be great, and I'm excited about it. And I think we've worked really hard and had to kind of endure some of, like I said, some of this wash joint exiting some of these lines to get to where we are right now, but I think the platform is ready to go.
Unidentified Analyst: That's great, and it's very encouraging. You also touched on this a bit earlier, and it was clearly a big announcement regarding Kick and its launch on Amazon. But I'm just wondering, can you expand on the status of that and your plans for the line and growth and other stuff?
James E. Kras: The status is -- it's been accelerating, which is great. We didn't -- unfortunately, like once again, in this reporting cycle, we just launched in the middle of May. So we had really a month of data in line. Obviously, it was significant on a small base. But that business continues to accelerate. We've put resources towards it. We've got a great partner, Pirawna. We got a great buyer at Amazon, who's got a real interest in better-for-you products, understanding where the category is going. So having that kind of support out of Seattle is fantastic, and they -- it is a big category for them. So our success and being on trend and them supporting us and us putting the resources towards it is important. And we're starting to see that return. We've been seeing that return, frankly, and the business just continues to accelerate and drive trial. We've made an investment in everything from social media to paid media, on AdWords and kind of all the tools of the trade in digital to start to drive engagement and trial. We've got great reviews online. And so that's really great. We've got 2 new items, our pre-workout, post workout, once again, better-for-you position. Those launch -- will be launching at PriceSmart as well as some other retailers in the next -- geez, the next probably 45 days for that Q4 load-in that I mentioned as well as online at Amazon. And what's great about that is you continue to not only differentiate yourself, but you expand the portfolio. And the retail rings are great on this. The margins are good on it. We've got a great manufacturing partner who's helping us with it. And as we continue to drive it, it will help drive not only innovation, but it also is driving a lot of the other private label opportunities that we didn't speak too much about on the vitamin supplement area, which it's kind of haloing the whole business as it relates to, hey, if Edible Garden can do what they do in produce in such a difficult category at such a high rate of excellence, imagine what they can do in more shelf-stable products and they're driving this innovation. And they're really the first company out there with this farm to formula notion that is taking the greenhouse and marrying it to finished goods. Like I said, it's -- I couldn't be more happier about where we are right now and how we've evolved over the last couple of years to get into this position to really be a leader.
Unidentified Analyst: That's fantastic. And lastly, you mentioned the international business being up. Can you just expand a little bit on how those markets fit into the longer-term growth plans?
James E. Kras: Well, what's great about it is, look, it's hard to ship basil from Michigan or Iowa or New Jersey to the Caribbean or South America, right? It's not going to make it unless it's dried or processed. So we have our limitations geographically and based on transportation, how much we can sort of stretch outside of the certain area with the greenhouses without putting a greenhouse up. And we all know that our competitors who are no longer around, most of them know they tried to build greenhouses everywhere, and then they just kind of ran out of gas because they either didn't have the relationships or the revenue where the CapEx was so high, and we've been so prudent with our money repurposing facilities. We've proven that with our Heartland facility in Grand Rapids and servicing Meijer in the Midwest and now what we're doing out in Iowa. But the reality is the shelf-stable products, whether it's the vitamins and supplements, which has driven the majority of that growth that you see and the growing demand globally for protein. And once again, all you have to read the papers to see that people are bringing in more and more protein. And look, people want better-for-you products, they're reading labels. They're not -- they don't want some of these nasty ingredients and preservatives. And so if we can meld that freshness with shelf-stable products, and position our products for -- to capture that demand, we're going to not only see that stay side, but internationally. And we see that, like I said, on the vitamins and supplements. And I think that's just the start. We're working on some very interesting new products that should align with other type of products that extend outside of vitamins and maybe even more into functional foods. We see that with Pickle Party and some of the big box opportunities there. But all those products, because they're more shelf stable, allow us to have more global reach with them and partner with some of these more bleeding-edge retailers like a PriceSmart that's trying to bring in goods to their -- into these different markets that are on trend and that they know that consumers want beyond the U.S. So super excited about that part of the business. It's been on fire lately, and I don't see it stopping, which is awesome.
Operator: Well, we appear to have reached the end of our question-and-answer session. I will now hand back over to the management team for their closing comments.
James E. Kras: Thank you very much.